Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Acuity Brands Second Quarter 2021 Earnings Conference Call. At this time, all participants’ lines are in listen-only mode. [Operator Instructions] After today's presentation, there will be a formal question-and-answer session. [Operator Instructions] At – please be advised that today’s conference may be recorded  I’d now like to hand the conference over to your host today, Charlotte McLaughlin, Vice President, Investor Relations. Please go ahead.
Charlotte McLaughlin: Thank you, Liz. Good morning and welcome to the Acuity Brands 2021 second quarter earnings call. As a reminder, some of our comments today maybe forward-looking statements. Based on management’s beliefs and assumptions and installation [Ph] currently available to management at this time. These beliefs are subject to known and unknown risks and uncertainties, many of which maybe beyond our control. Increasing those details in our periodic SEC filings, please note that the company’s actual results may differ materially from those anticipated. I will undertake no obligation to update these statements. Reconciliations of certain non-GAAP financial metrics with our corresponding GAAP measures are available in our 2021 second quarter earnings release which is available on our investor relations website at www.investors.acuitybrands.com With me this morning is Neil Ashe, our Chairman, President and Chief Executive Officer; who will provide an update on our strategy and detail highlights from the last quarter and Karen Holcom, our Senior Vice President and Chief Financial Officer who will walk us through this quarter’s earnings performance. There will be an opportunity for Q&A at the end of the call. For those participating, please limit your remarks to one question and one follow if necessary. We are webcasting today's conference call live. Thank you for your interest in Acuity Brands. I will now turn the call over to Neil Ashe.
Neil Ashe: Thank you, Charlotte. And good morning, everyone. Thank you for joining us to discuss Acuity Brands. I'm pleased with our Company's performance in the second quarter of fiscal 2021. We have delivered solid results, while continuing to make progress on our strategy. We've improved the way in which we serve our customers, expanded margins, and allocated capital effectively. As you know, the pandemic has created real challenges over the past several quarters. And we have yet to return to a steady state. The slowdown last year had a global impact on supply chains and logistics. And we continue to feel the impact of this in the economy in our and in our operations. Yet we have continued to have consistent and strong performance during this time. As we look forward, we are facing some new and existing challenges. As demand begins to rebound, global logistics, for example continues to encounter issues. New challenges include the global chip shortages, and the rising cost of some components. To be clear, these are good problems to have. We are managing these challenges aggressively, and our entire team will work tirelessly to deliver the best possible outcomes for our customers and continued high quality results. So moving on to the second quarter highlights. Our team delivered great results this quarter. Sales were down 5.8% however, we saw gross profit margin of 43.4% expand 170 basis points and reported operating profit margin expand 180 basis points against the prior year. The expansion was largely a result of product and productivity improvements throughout the business. And we are very happy with results. Karen will speak in more detail about this later in the call. As we highlighted in our earnings release, we continue to allocate capital effectively and as of February 28 2021, had repurchased nearly 10% of our shares outstanding since last May. Finally, in a message to our associates earlier this month, we announced that we were carbon neutral in our operations. I will talk more around this later in the call. But I'm delighted that we were able to announce this milestone as quickly as we did. I now want to update you on our on-going transformation. I have been at Acuity Brands for a little over 12 months. And what I continue to see every day is a team that is striving for success that is not shy about changing and that believes in Acuity and where we are going. It is no secret that I came to Acuity because I saw the opportunity for our company to be more than a lighting business. Our core lighting and lighting controls business was and is way more durable than the market gives it credit for as evidenced by our performance over the past several quarters. And we will continue to transform our business and the broader industry. We have the best go-to-market network in the industry and the broadest product lines that serve a wide variety of end-markets. We continue to improve the effectiveness of our products and the efficiency of our supply chain through the implementation of new technologies. We have a valuable and growing business in Distech and in Atrius we have the potential to build a very valuable technology business. Finally, we have the ability to grow through acquisitions both in our current businesses as well as in new ones. In our lighting and lighting controls business, we announced an exciting evolution in the leadership of that business. Trevor Palmer had taken over as President. Most recently Trevor was leading our controls business. He joined the company through the Distech acquisition nearly five years ago, and he exemplifies the talent that already exists within our organization. Trevor brings 27 years of industry experience to the role. I'm excited for what Trevor and his team will do with this business going forward. During the quarter, we continued to invest in product development. We have introduced new lighting and controls products and improved and evolved parts of our product and solutions portfolio. In our contractor select portfolio, we saw significant demand for the Compact Pro High Bay, a versatile high bay that has been in demand as a result of the increase in warehouse renovations, driven by the shift to online retail and the expansion of logistics networks across North America. The CPHB is a breakthrough product that was designed to deliver improved performance and a smaller size to ensure ease in installation. The product uses fewer inputs, is more efficient to transport and is both globally sourced and manufactured in our facilities to ensure supply chain flexibility. Within our GUV category, we introduced EVO air with UV technology with UV Angel technology, excuse me. This product uses on board 254 nanometer technology and circulation above the fixture to locally disinfect air in occupied and unoccupied spaces. We have installed this product in multiple Acuity locations, and have specifications being developed with this product in education, office and healthcare applications. It is worth pointing out that our controls capabilities are a key differentiator for successful GUV Lighting Solutions. Our Holophane products continue to win bids in infrastructure projects. We were awarded the Order for the relighting of the Big Dig project in Massachusetts that will begin in the second half of our fiscal year. Part of the scope of this mandate was to replace existing low cost fixtures that had been installed several years ago and were not performing as expected. Holophane is known for its quality and durability, and I am pleased we are in the -- we are the partner of choice to make the necessary improvements. Throughout the pandemic, we have continued to invest in product vitality. We have maintained the pace and quality of product rollout this year, which positions us well for the market recovery. I continue to be impressed by the agility of our team. Transitioning to go-to-market. We are committed to our independent sales network. This quarter, we announced a realignment in the northeast that will benefit our customers in the region and nationwide. We are creating a new agency through the consolidation of what were formerly the Acuity owned agency in New York, the New Jersey territory and the independent agency in Philadelphia. This transaction demonstrates our commitment to the independent sales network which we which we believe to be the strongest in the industry. By creating this new agency, we are better positioned to participate in designs and specifications that start in New York and travel around the country. We are also better positioned to serve contractors who work in New York, New Jersey and Philadelphia. We continue to make progress with Distech and Atrius. Distech is uniquely positioned in the building management space, built on open protocols and distributed through a network of independent systems integrators. It has continued to grow throughout the COVID-19 pandemic. We're also making progress around the product roadmap for Atrius. We are recruiting best-in-class talent to drive the capabilities in that business. In early January, Sandeep Modhvadia joined the business as Vice President of Product Development. Sandeep comes to us from Google Cloud, where he was responsible for the product development team building vertical solutions for the manufacturing, industrial automotive, power and transportation industries. We will continue to add talent to Atrius and make progress building unique and valuable technology solutions. Now, I would like to take a few minutes to highlight our progress on the ESG front. ESG is directly aligned with our values and our business strategy. We care about the environment, our people and our communities. Our company has been built on products, technologies and services that deliver sustainability and energy efficiency. Over the last year, we have focused on our own operations. Our recent accomplishment of achieving carbon neutrality across scope one and two emissions in our operations is a result of this work and demonstrates our commitment to continually improving our communities. We achieve carbon neutrality as a result of reducing environmental impacts in our facilities and through investing in carbon offset projects. Some of the energy efficient improvements made in our facilities can be highlighted by our crawfordsville-indiana facility where we optimized air compressors installed more efficient belts and added switches to reduce energy consumption and by our Conyers, Georgia and Des Plaines Illinois facilities where we installed our new I-BEAM, IBG and holophane foodzie on high bay lights, and you start Atrius building OS technology to conserve energy and improve the quality of life of space. And in our facility in Newark, Ohio, in which we rebuilt the glass furnace to improve overall efficiency, and which, has now completely, converted to renewable electricity, a win for the environment, and the cost savings. Our priority is the reduction of energy usage in our facilities and for our customers. Until we were able to realize the full impact of our energy efficiency improvements, we are supplementing with an offset program that is focused on helping the communities where we operate. We are investing in a series of carbon offset projects in Mexico, Indiana, and California, all communities where we have a presence. These projects support energy efficiency and renewable energy options at colleges and universities, landfills and agricultural sites. These programs allow us to remove carbon from the atmosphere and balance our carbon footprint from operations. While the focus of our recent accomplishment has been environmental, we are giving equal prominence to the F and the G parts of ESG. Simply stated, we want to be the place where the best people come to do their best work. To do this, we are continuing to focus on improving the lives of our associates by strengthening our culture and removing the barriers to success. Acuity is proud to be an inclusive company where we all succeed together. Finally, we have addressed several issues of governance over the last year by among other things, diversifying and restructuring our board of directors, and overhauling our total rewards program, including approving our long term incentive plans. Moving on to capital allocation. As I previously mentioned, we have now repurchased nearly 10% of our outstanding shares since May 2020. Effectively allocating capital is an important part of how we will create value for our company. To reiterate, our capital allocation priorities are clear. First, to grow our current businesses; second, to grow our company through acquisitions; third, to maintain our dividend and fourth to create value through share repurchases. We were able to capitalize on the dislocation in our share price, and have been very effective repurchasing shares over the last year. As we look forward, and barring another significant market dislocation, we do not anticipate maintaining this rate of share repurchases, we will return to our priority of using capital to grow the business. As we look ahead, we see improvements in the end-markets we serve and we are cautiously optimistic about the outlook for the remainder of fiscal year 2021. We intend to use the breadth of our product portfolio and the strength of our go-to-market teams to deliver a solid top line performance. While there will be global challenges ramping back up, we are aggressively addressing them. We will continue to invest in our business with the intention of becoming a larger, more dynamic company. With that, I'll turn the call over to Karen and be back for Q&A and for some closing remarks, Karen?
Karen Holcom: Thank you, Neil. I want to start by echoing Neil's initial comments regarding this quarters performance. Our associates pulled together to deliver a solid performance and the fourth consecutive quarter of gross profit margin over 42%. I'm proud of the changes and progress we continue to make. Moving to our second quarter results. Net sales were $777 million, a decrease of 5.8% compared to the prior year, which we believe was a very good performance in this market. Notably within our sales performance, our independent sales network and direct sales network were approximately flat with the prior year, as we continued to see strength in medium to large projects, offsetting some of the pressure in the commercial office space, which continues to be impacted by the COVID-19 pandemic. Retail channel sales declined approximately 24% as compared to the prior year as a result of strong year-over-year pre pandemic comparison. This was exacerbated by one of our large customers carrying out an inventory rebalancing which we believe to be a one-off impact. We expect to see sequential growth in this channel in our fiscal third quarter of 2021. Finally, sales and corporate account declined just over 50% as compared to the prior year. We continue to see large retailers defer renovation spend as a result of safety concerns resulted from the COVID-19 pandemic. In the last few weeks, there have been indications that these concerns are slowly lifting, and we expect to see continued sequential recovery through the balance of the year. Moving on to the rest of the income statement, gross profit margin was 43.4% for the second quarter of fiscal 2021, an increase of 170 basis points over the prior year. This was an outstanding achievement. This outperformance was the result of product and productivity improvements that yielded returns and we believe that this will position us well for any unforeseen challenges. Given this gross profit margin improvement, we believe attaining a gross profit margin above 42% is reasonable on an annualized basis. Reported operating profit margin was 11.7% of net sales for the second quarter of fiscal 2021, an increase of 180 basis points over the prior year. Adjusted operating profit margin was 14% of net sales for the second quarter of fiscal 2021, an increase of 170 basis points over the prior year. The majority of this improvement was driven by the higher gross profit margin and continued cost containment efforts, particularly around travel expenses, and sales and marketing costs, resulting from less in person activity due to the pandemic. As we continue to demonstrate our ability to drive margins, we will begin to reassess our reinvestment strategy, prioritizing systems and software development as we focus on executing our digital transformation. As the economy continues to open up, we expect to see travel and other marketing expenses increase throughout the balance of the year. We are working with our associates to ensure that only essential travel and marketing expenses are being incurred, and do not expect to return to a pre pandemic expense levels in fiscal 2021. As previously discussed, this quarter, we were able to share with our associates that we achieved 100% carbon neutrality within our operations by prioritizing efficiency improvements in operations, and some offsetting measures. This is not just an initiative for the management team. Both Neil and I believe this is a core to the on-going success of the business of the company. As part of the offsetting measures, we expect to see a modest FDA investment, but this will not be material. The effective tax rate for the second quarter of fiscal 2021 was 23.5% compared with 23.4% in the prior year quarter. We currently estimate that our blended effective income tax rate will be around 24% for the full year fiscal 2021. Finally, we saw significant improvement in diluted earnings per share for the second quarter of fiscal 2021. Diluted EPS of $1.74 increased $0.30, or 20.8% over the prior year, and adjusted diluted earnings per share of $2.12 increased $0.28, or 15.2% over the prior year. Moving on to cash flow, net cash from operating activities for the first half of fiscal 2021 was relatively flat at approximately $213 million compared to the prior year. We invested $21 million or 1.4% of net sales in capital expenditures during the first half of fiscal 2021 and currently expect to invest approximately 1.5% of net sales in capital expenditures in the full year of fiscal 2021. On February 28 2021, we had cash and cash equivalent balance of $499 million. I am pleased with the continued solid cash generation. Over the last 12 months, we have been extremely judicious around our capital allocation decisions. We continue to prioritize long term growth and believe that reinvestment into the future of the company is core to our success. We are further committed to maintaining our dividend and being opportunistic around our allocating capital to buybacks. As a result, we have repurchased 3.2 million shares of common stock during the first half of fiscal 2021 for a total of 338.3 million at an average price of $104 per share, with 4.4 million -- still remaining under our current board authorization. Before I turn to the Q&A, I would like to introduce a new section of our earnings call. Going forward, I will spend a few minutes reviewing some of the most important conversations around our company and industry and offer insights into how we are thinking about them. There are three discussions that have been top of mind how are we seeing the price increases play out? What is the potential impact of commodity price increases throughout the balance of the year? And what is our plan to deal with the electrical component shortage? Price increases did not affect our fiscal second quarter earnings. We've previously announced that price increases would go into effect March 15, 2021 across the portfolio, which is the beginning of our third quarter, with any potential effects not being felt until April. Today, we did not anticipate any drop off in demand as a result of the price increases. Similarly, our first -- our fiscal second quarter was not impacted by escalating input pricing. On our first quarter 2021 earnings call and throughout the second quarter, we have been deliberate about changing the conversation around the impact of price and cost. As we highlighted last quarter, our prior discussion ignored that we as a company controls several levers within our cost of goods sold structure. Our associates understand that it is our obligation to be in control of the relationship between our price and costs, separate from whether raw material prices go up or go down. The continuous improvement in our gross profit margin demonstrates that the move away from the price next conversation is appropriate, and that the discussion around operating the company towards a gross profit margin target is the correct lens in which to view our margin performance. The on-going improvements have been a result of product and productivity improvements. Essentially, we are reengineering our products to meet the needs of our customers while also meeting our margin obligations. Whether commodity prices increase or decline, we believe we can hold gross profit margin above 42% by controlling what we can control and through the on-going improvements throughout our business. Finally, the electrical component shortage is starting to make its way through the supply chain which will create challenges for the entire industry. We have seen indications that some of our products may experience procurement issues, and we are working diligently to service our customers. To wrap up, we have seen encouraging signs of improvement in our end markets, although some challenges still remain. And I continue to be proud of our dedicated team. We are committed to instilling discipline across the organization to ensure the long term stability and predictability of the company. And we are today satisfied with the progress we are making. Thank you for joining us today. I would now like to turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from John Walsh with Credit Suisse.
John Walsh: Hi, good morning, everyone.
Neil Ashe: Good morning, John.
Karen Holcom: Good morning.
John Walsh: First appreciate, the extra detail you're now providing in the prepared script. Found that very helpful. And wanted to kind of use that as a springboard for the first question here. So I guess one of your competitors was out with additional price increases. You talked about how the raws [ph] really haven't flowed through yet. But you have both this product and productivity benefit. You called out, can you provide a little bit more color around if you need to get more pricing if you need to kind of pull the product value engineering lever more or maybe the productivity level more? I mean, where will that offset come from as you see those raws flowing through?
Neil Ashe: Yes, John, thanks for the question. And, obviously Karen was pretty deliberate about pointing out the team is focused on the relationship between price and cost. So we are extremely pleased with the benefits that we've seen from the improvements in our product and in productivity. And obviously that will continue as we as we go forward. So we saw the benefit of that in the second quarter. And that will continue on into the third quarter. An example of that is the Compact Pro High Bay, where that I mentioned which uses less material, delivers a higher quality customer experience and output. So that's what we mean when we say there are multiple levers. So that that product is not going to require more steel in the third or fourth quarter, for example. So we'll continue to see that. As it relates to price, we are -- our focus right now is on the on the successful implementation of the price increase we already announced. So as we -- as we look forward, we think that relationship and price and cost as Karen indicated, on an annualized basis, get us comfortable over the 42% gross margin which it's worth noting is significantly higher on a consistent basis than the company has been in the past. So, so we like where we would like where we are going into this process. But as a as we both mentioned, this is, the ramp up is going to have its challenges. There are, there are going to be our entire industry is going to be working through the supply chain, the supply chain challenges and costs. And, we feel really good about our team, but it's going to be this is hard work, and the team is up for it.
John Walsh: Great. And then, as a follow up to that was just wondering if you could talk a little bit about the competitive nature in the quarter, we can all see the supply chain bottlenecks and higher freight that maybe some of the Asian imports or importers will feel coming into the U.S. But have you been able to use delivery times or other things to actually take market share? And, is that actually a correct premise that maybe some of the importers haven't been able to fulfill demand?
Neil Ashe: Well, I mean, of course, we're going to use John, every advantage we have in the marketplace to, to deliver the highest customer experience, and that is our priority. So, as it relates to as it relates to service levels, yes, we have consistently throughout the pandemic, when there were other challenges been able to, to smooth those challenges to the benefit of our customers. And we believe that that has accrued to increase market share for us. And we'll continue to do that, too. We'll continue to do that going forward. And it's worth just spending one second on the balance in our supply chain. So we have, as you know, we have about 20%, imported from, from Asian finished goods, about 60%, manufactured in our facilities in Mexico, and the remaining 20%, manufactured in our facilities in the U.S. and a little bit in Canada. So that gives us more dexterity, often than, many of our competitors, and we're definitely using that to our advantage.
John Walsh: Great. appreciate all the color. Thank you.
Neil Ashe: Thanks, john.
Operator: Our next question comes from Ryan Merkel with William Blair.
Ryan Merkel: Hey, everyone, congrats on the quarter.
Karen Holcom: Thank you, Ryan.
Ryan Merkel: So I guess first off, can you dig a little bit more into your comments about end markets improving? I've heard in some of my checks that agents and distributors have a backlog and quoting bill the past couple months. So are you seeing the same thing? And what do you think are the main drivers?
Karen Holcom: Sure, Ryan, we continue to be impressed with how our agents have performed really early on in the pandemic. And also as we continue to see improvements in our end markets. So in the first quarter, we mentioned that we saw in consistencies across geographies, and we continue to see that same performance today just can be very inconsistent across the different geographies that we serve. We've seen some improvements due to activity for warehouses and logistics is a really strong areas for us as where as well as K through 12 performance. And that's helping us kind of manage where we see some softness in the market. So, we still see some optimism, and we're just cautiously optimistic about the ramp up that we're seeing currently.
Ryan Merkel: Okay, perfect. And then, Neil, can you articulate why you see a growth story in intelligent buildings? Just talk about what's changed first, a few years ago? And then what are the main use cases?
Neil Ashe: Yes, Ryan. So let's, let's kind of frame this first. First, with this deck. And I mentioned this in my comments. We have an attractive asset that's uniquely positioned in the market. It's from a technology perspective, it's built on open protocols. And from a distribution perspective, it's distributed with independent systems integrators. That gives Distech the opportunity to really have present building owners with the opportunity to adapt to a number of different scenarios going forward. With Atrius, we've pivoted the focus then to really be about the applications largely in the cloud, which deliver real business value to, to around buildings, around people and around into independent use cases, which are different than really we can see anybody in the marketplace doing right now. For a long time, IoT has been a solution in search of a problem, in my opinion. And what we're really focused on are what are these applications that can deliver demonstrable value for our customers. So we're in the cat, we're in the course of building that out and so over time, what you will see with this group is you will see a high quality product business in Distech. And a high quality technology application solutions business with Atrius which should deliver continuous, recurring revenue and, and growth. But as I said, Atrius is still an option at this point. We are obviously recruiting for a very impressive talent to, to, to take this where we are pivoting it to go. But it's still early. So that will so but when you summarize that Distech will continue to grow and you'll see that more later in the year as we provide more transparency, and Atrius we believe can grow to be a meaningful recurring revenue business.
Ryan Merkel: Very helpful. I'll pass it on. Thanks.
Neil Ashe: Thank you, Ryan.
Operator: Our next question comes from Chris Snyder with UBS.
Chris Snyder: Thank you. First, on gross margin, can you provide a bit more color on the sequential improvement in the quarter? I know the company called out productivity improvement, but the like a, a sharp kind of sequential improvement. And then, what level of pricing improvement if any, is embedded into the, 42% plus target going forward?
Karen Holcom: Alright, Hi, Chris, how are you?
Chris Snyder: Good. How are you?
Karen Holcom: If we look over the past several quarters, for the past eight quarters, we've delivered gross profit margins above 40%. And six of those eight quarters have been above 42%. So you're right, this was a sequentially strong quarter at 43.4. But as we mentioned, we continue to work on product and productivity improvements. And some of those good yield results a bit faster than we expected, which really positioned us well, for what we see ahead. Given our current gross profit margin improvement, we think that we can achieve the gross profit of above 42%, for the balance of the fiscal year.
Chris Snyder: But I guess on that, is there any, that's that 42% plus for the balance of the year, does that embed, or what level of pricing improvement does that embed?
Karen Holcom: Sure, we announced the price increase, and it'll be effective, it was effective in March. And we'll feel the benefits of that probably later in the third quarter. We are focused on full capture of the price increase in just taking advantage of the price increase to offset some of the costs that we see ahead of us. Neil, anything you want to add?
Neil Ashe: Chris, it's just worth noting that we consistently have the highest gross margin in the industry. So this positions us well, competitively as we, as we look forward. So, as we've, as we've been saying, for really, every quarter since I've gotten here, we are working on these products and productivity improvements to make this company more predictable and reliable. Number one, and this goes back to the earlier question about the supply chain number one, to a customer's and in the marketplace, we want, we want the entire marketplace to know that they can rely on Acuity Brands to solve their needs. And in so doing, we've been able to increase the quality and the margin profile of our products, and the how we make them and deliver them, which is delivering these productivity improvements. So, as we said, there's the ramp back up is, is going to be bumpy for the entire industry, frankly, for the entire economy. So we don't want to get out in front of ourselves, which is why we've done so much hard work to position ourselves for, for where we're going to be for the remainder of the year.
Chris Snyder: Appreciate that. And then I guess the second question, for then thinking about non-rez new construction business, could you provide some color on when you think revenues there could bottom, assuming they haven't already, just because when we looked at the start data, the comps are turning easier, and it's definitely getting better. But, given a lighting lag, just be helpful for when we're trying them all out to, hear when you guys think that could bottom?
Neil Ashe: Yes, Karen, Karen addressed this in, in her comments. But, as we said in the last call, it's, it's helpful to see the disaggregated revenue in our lighting, explanation and the C&I independent sales network has been incredibly consistent at a level through the, through the, through the pandemic, obviously, that's starting to increase. And Chris, that's a that's a combination of a number of different a number of different verticals and products. And as Karen mentioned some inconsistency and round regions across the country. So we think that return will be a little bit bumpy as a result as a result of that, but there's there's no question that there's demand. As we look to external kind of indicators which are kind of spot on, we've, we've talked about this in the past. It really is around, it really is around total construction. And as you as you look forward and think about kind of where we're going to be over the next several years, I just want to emphasize a, a really simple yet pretty obvious point, which is that you can't build anything, or renovate anything without lights. So whether it's a highway, a building, a warehouse, a school, hospital, an office, etcetera. A home, nothing, you can't build anything or change anything without life. So, we feel we feel like we have a, we have a place to play in, in the economy over the foreseeable future.
Chris Snyder: Appreciate that. Thanks for the time, guys.
Operator: Thanks. Our next question comes from Jeff Sprague with Vertical Research.
Jeffrey Sprague: Thank you. Good morning, everyone. I guess, if we could just talk about supply chain a little bit more, Neil. So the semiconductor thing is pretty well understood, as maybe obvious and enough of the challenge for everyone. But is there? Are there any particular other areas where, you see constraints that you're trying to get ahead of? And, is there knows what the future brings in terms of end demand? But do you actually see kind of supply governing your revenue trajectory here's called the next to the four quarters?
Neil Ashe: Yes, Jeff that's a really good question. So, the global chip shortage goes all the way back to the fab. So this is, this is a, this is a problem, which spans everyone that impacts largely our controls business. So we're working our way through that. Obviously, we're the largest supplier in the lighting business. So we can, we can use that to our advantage. But we're small when you compare us to say, the auto industry, for example. So there's, so we're, we will do the best we can, and I'm confident our team is, is working incredibly hard to and they will do better than better than most. The as you think about kind of other challenges. There are, kind of discrete, there's some discrete items, which are maybe unique to some of our products, but there isn't, there won't be a systemic kind of impact to everything that we do. So yes, it will, it may create some bumpiness in our, in our shipments over the course of the next several quarters. But we are, as I said earlier, we're doing the best we can. And we've demonstrated working really hard, as we've demonstrated through the pandemic that we'll be will be better than most and and, and our team is primarily focused on how can we be as consistent and predictable as possible to our customers and end users so that, over time we continue to drive preference to Acuity.
Jeffrey Sprague: Great? And could you just elaborate a little bit more on this sales agency change in the northeast, a little more color on what you attempt to accomplish with this change? And is this something that would be happening across the country, if you can get the stars to align? How it might impact just kind of the front end of your business would be interesting?
Neil Ashe: Yes, Jeff, it's a really good question. So it's worth a little bit of background here. The New York market was a bit of an odd duck in our go-to-market strategy, and that it was an owned agency. The only other place we have that is in Toronto, and everywhere else we rely on independent sales agents. The so we saw two things that happened as a result of that. First, we were constrained in the New York City Market on our ability to serve, to serve projects where, where designers and specifiers may want, I don't know why they would but may want a product that wasn't made by Acuity. So the logic of these independent sales agents is that they can they can, they can curate a collection of products that allows us to have a higher success ratio when it comes to bid day and we can win more projects and as a result grow market share. So we were pretty hamstrung in the New York market. At the same time, we saw that, that we needed to provide some consistency to contractors that did business across New York, New Jersey and Philadelphia. So that effectively from their perspective is a single market and it was ineffective for them to be doing business with multiple of our different agencies. So we see, we see the consolidation of these agencies as a way for us to better serve the New York design and specification community which we hope will carry specifications across the country number one, and then number two, better serve and more consistently serve these contractors that are working in New York, New Jersey and Philadelphia. So, so we feel really good about this. It doesn't necessarily portend similar changes across the country because we don't own any agencies in other markets, but we've been underperforming in the largest market in North America as a result of this own agency so it was a pretty important for us to get this sorted out. And then finally, I do want to emphasize that this is this is demonstrating our commitment to this independent sales network which we believe to be the strongest in the industry. We'll continue to work with the independent sales network to improve their performance and we will continue to drive for better outcomes for both them and for us in other markets across the country.
Jeffrey Sprague: Great. Thank you.
Operator: Our next question comes from Christopher Glynn with Oppenheimer.
Christopher Glynn: Thanks, good morning and congrats on the results. Was curious about capital you know the repurchase sounds like the high level repurchase is kind of done. You're quite asset like and you have no net debt lot of cash, so it kind of shines a light on the pipeline question what are your seen what are your tense for deals over the next say a year and a half or so?
Neil Ashe: Yes thanks for the question, and your observations are spot on and are a large part of the reason why I'm here in the first place. So if we kind of do a check in, we talked about the durability and of our lighting and lighting controls business and the opportunity to transform that business I feel really good about where we are going there. We talked about the opportunity and the option to build a technology business with Atrius and as I indicated earlier, it's still early stages but we're assembling a rockstar team there that we believe can can make a real difference which gives us the opportunity then to focus on how can we, the company is in a position to process and how can we focus on how to continue to grow the company through acquisitions. That'll flow into two big camps, the first would be bolt-on acquisitions to our existing businesses so we have a healthy pipeline now of opportunities that are relatively small but we which we feel like we can do in the foreseeable future around our existing businesses and then we'll start to turn our attention and it's very early and we don't have a lot to share on this on what other areas we would invest in post that. But our objective as I said earlier was to be a technology company that that solves problems and spaces in light and we see the opportunity to expand to additional areas over time. And so I would expect kind of bolt-ons for the in the immediate future and then we'll start to focus on larger things after that.
Christopher Glynn: Great. And I was curious a lot of border topics in the news lately and maybe the word chaos comes to mind a little bit I'm not sure how the Maquiladoras regions intersect with some of the border issues but could you update us on the security, the visibility and risk factor of you know just sustaining all your output out of Mexico?
Neil Ashe: Yes, that's a great question. So let me start at the border and obviously there's we move a lot of products from Mexico to the U.S. We actually, we haven't seen challenges as a result of some of the stuff that you're referencing in the news. We did see them in the when the storms went through that region and you know Texas shut off natural gas to Mexico which cost us a couple days of production in Mexico which was I personally didn't see that one coming. But the as we think about the Maquiladoras, they're obviously incredibly important to the economic infrastructure of really all of Mexico and so our leadership team in Monterrey is highly visible and highly relevant to the industry group of the Maquiladoras. We meet regularly with the key members of the government there to ensure that that there is continuity and we have been for example really helpful excuse me on the at throughout the pandemic on health and safety issues. We've developed them in our facility, shared them with the other Maquiladoras, shared them back with the health and labor secretaries as we as we progress there. So I would say that we work very hard at making that that area of the world as stable as possible for so that we can continue and we feel pretty good about where that stands right now.
Christopher Glynn: Nice answer. Thank you.
Operator: Our next question comes from Tim Wojs with Baird.
Timothy Wojs: Hey, Hey, everybody. Good morning. Nice, nice job. I guess my first question just on productivity? Could you just I guess give us a little bit more color of detail about maybe what's really changed on the productivity side? Because it sounds like things have and it's always been a lever that's been available to Acuity for a long time. So just are you doing just more on the productivity front than before? Is there more structure or maybe some internal incentives around it internally, just just try to understand it, it does seem like there's more emphasis on that I'm just trying to understand if there's anything that's really changed behind the scenes.
Neil Ashe: Yes, Tim. So a lot has changed. So we've been able to, we've been able to optimize our productivity around specific facilities. So we've consolidated one facility, we've, we've changed the flow through several of our facilities. On the manufacturing side, we, transparently as a result of COVID, we were forced to rethink many, many things. And so we re-architected the cell, cell structure to keep people distanced, and we were able to process the, frankly, the same amount of output, as you seen, with a with a smaller base. And, and, and the, kind of never missed the opportunity presented in a crisis to improve our to improve our operations. And then on the on the distribution side through we've increased the throughput of our, of our distribution facilities, so we can process more through on our Asian finished goods. We've changed how we distribute those. So in addition to we've spread the distribution out throughout the country, so that we're, we're delivering materials from Asia to the east coast, as well as to the west coast. So it's a series of it's a cumulative series of things. And you know, that I say a lot about transformation around here, Tim, is is oftentimes, we think that there are really things but the queue, really large things, but the cumulative impact of small things can be really meaningful and differentiated. And I would say that this, this, this both product and productivity improvement point to the accumulation of a number of small things, which have been really impactful.
Timothy Wojs: Okay, okay. Okay. Great. That's really helpful. Thanks for that. And then, maybe on a go-forward basis. I mean, you did talk about the 42% plus gross margin Target, how are you thinking about SG&A in just leverage, because, that's been a source of opportunity over time, kind of pre pandemic, you were in this kind of 26 or so percent of revenue as a percent of sales, you know, for SG&A. And that's obviously migrated higher with the pandemic. I mean, is 26% still a target or attainable as you as you see the end markets recover, and you don't have to put as much SG&A back into the business?
Karen Holcom: Yes, Tim, that's a great question. We have been managing costs very closely during the pandemic. As you know, some of these costs came down naturally, as we travelled less, we held less than person events. And as the market comes back, we see that starting to increase a bit, but we really are going to manage this carefully and not invest ahead of the market recovery. So we'll continue to work with our associates to make sure when they are traveling, and when we're doing these marketing events, that they are the right ones and are delivering a return for us. But I could see a sequentially start to increase just a little bit throughout the balance of the year, but probably not to the full level of dollar spend that we were pre pandemic.
Timothy Wojs: Okay, but from a dollar perspective, you see, sorry, Neil go ahead.
Neil Ashe: Yes, no, Tim, I just wanted to add in to Karen's point there. And we want to prioritize our reinvestment going forward because and I want to make sure we put a marker out there that we are going to reinvest going forward. And we're going to prioritize a lot of that reinvestment around things which we consider investments as opposed to expenses predominantly around the software development and other changes that we want to make as part of the transformation. So we will be adding back some expenses expenses going forward, but we believe those are investments as opposed to spend dollars.
Timothy Wojs: Right. Okay. Okay, great. Well, nice job again, and good luck on the rest of you guys.
Neil Ashe: Thank you.
Operator: [Operator Instructions] Our next question comes from Brian Lee with Goldman Sachs.
Brian Lee: Thank you and thanks for taking the call. Good morning. Most of my questions have been answered but maybe just could you give us a sense on the, I knew I know you came in with a big view on the digitalization opportunity here for the company, tier three for Atrius type solutions, you sort of alluded to building that out here as well. Can you also kind of put that into the context of the corporate channel here? How does the, the mix shift? You guys have been struggling kind of in that channel here, through the pandemic, but even before the pandemic, it seemed like that channel was, was struggling to grow. Is it fair to assume that a lot of the digitalization opportunities through that channel is trying to understand where it shows up in your new quota sort of segment breakouts?
Neil Ashe: Yes, Brian. Well, we have, we've addressed this in the past. And so let me just spend a second on generally, what enterprise accounts are obviously the largest accounts we have, there are retail accounts they are, and we've had a lot of success with some of the most important retailers in North America. The results have been we've said consistently, that those results will be inconsistent based on the need for those customers to manage access to their buildings. And you've seen that throughout the pandemic. So a lot of the drop off, you've seen and if you look at it on a sequential basis, it's literally a drop off. It's not a --it's not a declining curve, is the result of that the reality that throughout the pandemic, their priority was only having their associates and their customers in their facilities. But as you know, these entities can't go on forever without renovation. So retailers are generally on a seven to 10 year ish kind of renovation schedule. So, so this will come back. And, and we're, and we will participate in it when it does. We’re I think the best position to the industry for that segment. The second part of that question that we've said, or I've said consistently, since I got here is that what's interesting about the luminaire and lighting is that it's a capital efficient way to introduce technology to spaces. But that is the incremental cost of the technology is relatively low. And the real cost is is around the installation of that technology and the changes necessary in that process. So when you're renovating, it's a very efficient time to introduce new technology into spaces which we have done and we will continue to do going forward. And then so you will see the manifestation of that to your question, as we think about the lines of business through sales of Atrius enabled luminaires lighting control products through and products through the ABL channel. As we start to develop applications, which drive business value, you will see those applications show up in Atrius and see those in our spaces in the conversation about our spaces group. So, so the synopsis of that is that lighting and luminaires and the renovation opportunities around them provide a capital efficient way to introduce new technology to spaces will benefit from that by having the highest quality technology. And then second, we will use that technology to power as a part of the powering of applications which deliver real business value to to our customers through Atrius.
Brian Lee: Okay, great, that's helpful. And then maybe just a quick one. I know the inks not even dry on this. But have you guys had a chance to sort of sift through the President Biden's infrastructure agenda? I think he's out this afternoon outlining it in a speech but the White House has put out some high level markers around different parts of the package here any impact or tailwinds that you'd be anticipating from what you've seen thus far?
Neil Ashe: Yes, unfortunately, we haven't had the time to dig through it. You know, obviously, if that were to happen, it would be a benefit for the economy. And as I mentioned earlier, it's impossible, impossible to build anything without lights. So whether it's a highway or school or a VA hospital as the tree tops view I saw early this morning, all of those things will, will need lights, and so we’ll continue to use this as an opportunity to drive our product and productivity improvement. So that we're best positioned for whatever that ends up being.
Brian Lee: Alright, thanks a lot. I'll pass it on.
Operator: Our next question comes from Jeff Osborne with Cowen.
Jeffrey Osborne: Yes. Good morning. Just one question on my end. I was curious if you could update us on what the status is of the UV lights, any momentum there with the acquisitions, you've done in new product introductions?
Neil Ashe: Yes thanks Jeff. We are we are now officially in the market with those as I mentioned earlier around the 254 nanometre and light luminaires, which are interesting and I didn't explain them perfectly but they include the 254 nanometer technology. They circulate air above the fixture too so that they work in a situation where people are present or not present which is unique for the 254 nanometer technology. That's now in the marketplace. We've obviously as I mentioned, we're eating our own cooking so we've installed that throughout our supply chain facilities and it's having a positive impact so you know we expect kind of revenues in the third and fourth quarter from that going forward. And then we'll layer in the rest of the rest of the products that we that you've heard as mentioned before.
Jeffrey Osborne: Perfect. That's all I had. Thank you.
Neil Ashe: Thanks Jeff.
Operator: That concludes today's question and answer session. I'd like to turn the call back to Neil Ashe for closing remarks.
Neil Ashe: Thank you Liz. We're pleased with our results in the second quarter. Our team is hard at work dealing with the challenges that we've been discussing are ramping up. And our focus will remain on serving the needs of our customers and on delivering quality results. So I'd like to thank you all for joining us today as we said we will be providing deeper insight into our lines of business later this year and we intend to host an investor day so please sign up at the investor website and be in touch with Charlotte and for updates and we'll announce that date soon. So with that, thank you for your time and thank you for your interest in Acuity Brands, and we hope you have a great rest of your day. Thanks
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.